Operator: Good day, and thank you for standing by. Welcome to the fourth quarter 2024 Employers Holdings, Inc. Earnings conference call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you need to press star one one on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star one one again. Please be advised that this conference is being recorded. I would now like to hand the conference over to your speaker today, Lori Brown. Please go ahead.
Lori Brown: Thank you, Kevin. Good morning, and welcome, everyone, to the fourth quarter 2024 earnings call for Employers Holdings, Inc. Today's call is being recorded and webcast from the investors section of our website. A replay will be available following the call. Statements made during this conference call that are not based on historical facts are considered forward-looking statements. These statements are made in reliance on the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Although we believe the expectations expressed in our forward-looking statements are reasonable, risks and uncertainties could cause actual results to be materially different from our expectations, including the risks set forth in our filings with the Securities and Exchange Commission. All remarks made during the call are current only at the time of the call and will not be updated to reflect subsequent developments. The company also uses its website as a means of disclosing material non-public information and for complying with disclosure obligations under the SEC's regulation FB. Such disclosures will be included in the investor section of our website. Accordingly, investors should monitor that portion of our website in addition to following our press releases, SEC filings, public conference calls, and webcast. In our earnings press release and in our remarks or responses to questions, we may use non-GAAP financial measures. Reconciliations of these non-GAAP measures to our GAAP results are included in our financial supplement as an attachment to our earnings press release, our investor presentation, and any other materials available in the investor section on our website. Now, I'll turn the call over to our Chief Executive Officer, Katherine Antonello.
Katherine Antonello: Thank you, Lori. Good morning, everyone, and thank you for joining us today. On the call with me is Michael Paquette, our retiring Chief Financial Officer, and I would like to welcome Mike Pedraja, our incoming Chief Financial Officer. During the call, we will follow our typical agenda where I will deliver my opening comments, and then hand it over to Michael to provide the details on our financials. I'll close with a few additional thoughts, then we'll open it up for questions, comments, and discussion. The fourth quarter contributed nicely to a very successful year. We finished the year with the highest levels of written and earned premium, ending enforced premium and policies, and net investment income in our history. We achieved solid growth in new and renewal premium throughout 2024, which was offset by lower final audit premiums and endorsements. Our gross written premium excluding both final audit premiums and the change in audit accruals increased 3% in the fourth quarter and 6% for the full year, with all major distribution channels contributing to the growth. Our investment performance was also a boost to our revenue throughout 2024, with strong net investment income and net unrealized gains from our common stock and other investments. From an underwriting standpoint, our year-end full reserves study led to the recognition of $9 million of net favorable prior year loss reserve development from our voluntary business. That action, coupled with meaningfully lower underwriting expenses, yielded a combined ratio of 95.5% excluding the LTT for the fourth quarter. For the full year, we had a combined ratio of 98.6% excluding the LPT, which represents our tenth straight year of achieving an underwriting profit in our long-tailed line of business. I'm particularly pleased with the reductions we achieved throughout the year in our underwriting and general and administrative ratio. That ratio for the fourth quarter was 23.2% versus 24.6% a year ago, and was 23.5% for the full year versus 24.9% a year ago. The decreases were primarily the result of cost savings achieved through the Cerity integration plan that we executed in the fourth quarter of 2023, and we remain laser-focused on achieving further reductions to that ratio going forward. As you're aware, we do not provide specific guidance, but in light of the ongoing competitive rate environment for workers' compensation, we currently anticipate increasing our 2025 accident year loss and LAE ratio for voluntary business. The increase is consistent with both our prudent reserving philosophy and the current trend in the workers' compensation industry. We expect this to mitigate the impact of our continued focus on reducing the expense ratio. Finally, I want to thank our talented and dedicated employees for all they achieved in 2024. They are our most valued asset and have been key to our success. With that, Michael will now provide a deeper dive into our financial results. I'll return to provide my closing remarks. Michael?
Michael Paquette: Thank you, Katherine. Gross premiums written were $176 million for the fourth quarter and $776 million for the full year, with both being highly consistent with the premium levels that we wrote a year ago. In each period, higher new and renewal premiums were offset by lower final audit premiums and endorsements. Net premiums earned were $190 million for the quarter, $750 million for the year, representing increases of 1% and 4% respectively. Our fourth quarter and full year loss and LAE ratios, excluding the impact of the LPT, were 59.5% and 61.6% respectively, versus 50.2% and 57.2% a year ago. The increases in each period were the result of lower favorable prior year loss reserve development and a slightly higher current accident year loss in LAE estimate. We recognized $9 million and $18 million of favorable prior year loss reserve development during the fourth quarter and full year on our voluntary business, respectively, versus $25 million and $45 million respectively a year ago. Throughout 2024, we've continued to settle claims on an accelerated basis to both mitigate our overall tail risk and generate additional reserve salvage. As mentioned in our earnings release, within the 2024 periods presented, we refined our presentation of certain expenses associated with our involuntary premium. This revision was immaterial, had the effect of reducing both our fourth quarter and full year 2024 commission expense ratios by approximately 0.3 percentage points and increasing our respective underwriting and general administrative expense ratios by the same amount. This revision had no effect on our total underwriting expenses or net income. Our fourth quarter and full year commission expense ratios were 12.8% and 13.5% respectively, versus 14% and 13.9% respectively a year ago. The decrease in our commission expense ratio for the quarter was primarily due to a nonrecurring adjustment to our commission expenses, which served to reduce this ratio by approximately 0.6 percentage points as well as the previously mentioned involuntary premium refinement. Our commission expense ratio for the full year was highly consistent with that a year ago when considering the involuntary premium refinement. Our fourth quarter and full year underwriting and general administrative expense ratios were 23.2% and 23.5% respectively, versus 24.6% and 24.9% respectively, a year ago. The decreases in each period were primarily related to lower professional fees and information technology expenses, resulting from our Cerity integration plan that we executed in the fourth quarter of last year, partially offset by higher bad debt expense and the involuntary premium refinement. Net investment income for the fourth quarter was $27 million versus $26 million a year ago. The increase was due to higher bond yields partially offset by a lower average investment balance as measured by amortized cost. Our net investment income for the full year was $107 million, which was highly consistent with that of a year ago. Note that the net investment income in 2023 benefited from our former Federal Home Loan Bank leveraged investment strategy, which we unwound in the fourth quarter of last year. Our fixed maturities currently have a duration of 4.5 and an average credit quality of A+. Our weighted average ending book yield was 4.5%, which is up from 4.3% a year ago. Net realized and unrealized losses on investment through the income statement were less than $1 million for the quarter, versus net gains of $12 million a year ago. For the full year, our net realized and unrealized gains were $24 million versus $23 million experienced a year ago. Our interest and financing expenses were both down sharply in the fourth quarter and the full year versus those of a year ago. The decreases in each period were due to the repayment of our Federal Home Loan Bank advances during the fourth quarter of 2023 as previously mentioned. Income tax for the quarter was $6 million and an 18% effective tax rate versus $13 million or a 22% effective tax rate a year ago. The effective tax rates in each period reflect applicable income tax benefits and inclusions and exclusions associated with tax-advantaged investment income, LPT adjustments, pre-privatization loss and LAE reserve adjustments, and deferred gain amortization. Our income tax expense for the full year was $28 million, a 19% effective tax rate versus $30 million or an effective tax rate of 20% a year ago. Our book value per share including the deferred gain of $47.35 increased by 10.6% during 2024 and our adjusted book value per share of $50.71 increased by 9.8% during 2024, each including dividends declared. These measures were favorably impacted by $24 million of net arising from our equity security and other investments. During the fourth quarter, we repurchased $10 million of our common stock at an average price of $51.20 per share. And since year-end, we bought a further $11 million of our stock at an average price of $49.38 per share. Our remaining share repurchase authorization currently stands at $18.7 million. Earlier this week, our board of directors declared a first quarter 2025 regular quarterly dividend of $0.30 per share. This dividend is payable on March 19 to shareholders of record as of March 5. And now I'll turn the call back to Katherine.
Katherine Antonello: Thank you, Michael. We met our capital management objectives in 2024 by returning $72 million to our stockholders through share repurchases and regular quarterly dividends. Our success in opportunistically repurchasing our shares throughout 2024 allowed us to meet these objectives in the best possible way, thereby improving several of our current and future key metrics without the need to declare any special dividend. Beyond our financial results, we recently announced that AM Best upgraded the financial strength ratings of each of our insurance companies to A. This upgrade reinforces our ability to provide reliable, trusted, high-quality coverage to small businesses across the nation. Looking ahead to the remainder of 2025, we will continue to vigorously pursue profitable growth opportunities by focusing on disciplined underwriting and claims management, cultivating and maintaining strong long-term relationships with traditional and specialty insurance agencies, thoughtfully expanding our appetite to new risk segments, further developing important alternative distribution channels, and offering insurance solutions directly to customers. We are confident that our strong capital position will support both our growth and innovation initiatives, and we look forward to the year ahead. And with that, Kevin, we will now take questions.
Operator: Thank you, ladies and gentlemen. If you have a question or comment, please press star one one on your telephone. We'll pause for a moment while we compile our Q&A roster. Our first question comes from Mark Hughes with Truist. Your line is open.
Mark Hughes: Yeah. Thank you. Good morning.
Katherine Antonello: Good morning, Mark.
Mark Hughes: Katherine, can you give us a sense of the magnitude of the change in the loss pick for the current accident year? You've been holding steady at 64 for a while, and a lot of the same dynamics seemingly have been at play. The lower loss cost, the medical inflation, etcetera? Why now? What do you see in the marketplace that motivates you to increase the loss pick?
Katherine Antonello: Yeah. So Mark, our current accident year loss in LAE ratio is determined annually by our actuaries. And they consider the pricing environment of each of our states and the growth prospects that we have in those states, also look at the trends in frequency and severity and any initiatives that we might be implementing within the year that we feel could impact our results. You know, I would say that our philosophy or approach has not changed. We generally like to choose the ratio at the beginning of the year, and that's based on the current environment, and we like to leave it there until there's a compelling reason to change it. As you said, our prudent reserving philosophy and the continued competitive rate environment led us to select a 2024 accident year loss and LAE ratio of 64%. That was slightly higher than what we chose for 2023, which was 63.3%, and that has been consistent for a while. We have the same loss pick in 2022. When I mentioned that we do expect to increase our accident year loss and LAE ratio in 2025, the primary drivers there are some higher actuarial trend selections and, as I mentioned, the ongoing competitive rate environment. What I would say is we do see also improvement in our expense ratio, but that will be mitigated to some extent by the change in the loss and LAE ratio that we're expecting. You know, I'd just also add that the change that we are expecting will be directionally consistent with the work comp industry, which has been, you know, increasing the current accident year loss pick for several years, and we've been coming in below that.
Mark Hughes: Understood. Is one to think the 70 basis points uptick in 2024? Is that a good starting point to think about 2025?
Katherine Antonello: Because we don't give guidance, I can't give you any indication at this point as to how high it will be, except for the fact that we do expect our decrease in the expense ratio to be an offset and a mitigating impact.
Mark Hughes: To be will it fully offset, do you think, or just partially offset or no specifics at this point?
Katherine Antonello: No specifics at this point, but we expect the offset to be meaningful.
Mark Hughes: Yeah. Then you said the higher actuarial trend selection. That phrase carries a lot of weight. Can you maybe say what trends are driving that frequency, severity, medical?
Katherine Antonello: Yeah. Yeah. So, you know, we look at frequency, and we always do that based on our on-level premium. Our lowest time claim frequency has continued to trend downward over the last several years. We do not expect that trend to change. When we adjust for the change in wages, our overall claim severity values have really held fairly steady in the most recent years. And they remain, generally speaking, below the pre-pandemic levels. And that's been driven by lower medical severity. Indemnity severity, I would say, is trending about the same as wage inflation. And up to this point, medical inflation and the economic data has remained relatively mild, especially when you look at it in relation to other sectors like energy, or housing, or food. So that's good news. So the, you know, the pressure is really just coming from a little bit more conservatism and what we're seeing, you know, broadly in the industry. I will add that the accident year loss and LAE ratio pick for 2023 that we saw coming out of last year's state of the line, it was a 69. I'm not suggesting that that's what we are selecting in any way, shape, or form. But I'm just saying that we have been well below the industry for many, many years.
Mark Hughes: The wage inflation that you might have seen in earlier years, I think ended up being beneficial, you know, since medical inflation was benign. It was a kind of a won't say hidden, but an extra amount of premium that might have offset any kind of inflation in any trends around severity? I guess maybe the fact that you're not seeing as much wage inflation, is that then put a little more pressure on the current accident year. Is that a does that make sense? Or that off base?
Katherine Antonello: No. I mean, that does make sense. I'll tell you, you know, when I look at the BLS numbers, as of December, the annual change in employment and hourly wages was 5.3% for all sectors. And 5.5% for leisure and hospitality, which is where we have a big concentration. Those numbers compared to 6.1% and 8.1% a year ago. So it's that reduction in the acceleration of employment and wages that's impacting our book of business, and it's impacting it by decreasing the audit pickups and the audit accrual that we have, and that's putting a bit of pressure on our net written premiums. So you're spot on that some of the it's really the reduction in the acceleration of employment and wages that we're seeing that's putting pressure on the net written premiums. There's still very strong increases but not to the extent that we saw coming out of COVID.
Mark Hughes: Yeah. And then maybe just one final question. You've been talking about expansion in your appetite that helped drive the top line. How should we think about that going into 2025?
Katherine Antonello: Yeah. We are going to continue to expand our appetite, and we're actually accelerating our effort there because it has been a very successful program. That segment of business is operating at a loss in LAE ratio that's very similar, if not slightly better than, you know, our traditional target classes. It's really contributing to our overall growth. In the fourth quarter, just to give you some numbers, the appetite expansion classes generated $35 million or 20% of our new and renewal premium. The other area that we're focused on is what I've mentioned in the past is this continued shift towards API utilization for submissions, quotes, and binds. That's coming through digital agents and digital marketplaces. So we're focusing our efforts on increasing those digital partnerships. We'll see quite a bit of that going on in 2025 too. Thank you very much.
Mark Hughes: Thank you, Mark.
Operator: One moment for our next question. Our next question comes from Robert Farnam with J.D. Montgomery Scott. Your line is open.
Robert Farnam: Yes. Hi there. Good morning. Michael, a question for you. It looks like you maybe transitioned a bunch of your investments into mortgage-backed securities during the quarter and just kind of want to know what your thought process was there.
Michael Paquette: Sure. What you'll see when we file our 10-K is that we increased our letter of credit issued by $100 million through the Federal Home Loan Bank, and we use that to satisfy deposit requirements in California, which permitted us to liberate some of the lower-yielding assets that we had on deposit in California. And we sold those in the quarter and recognized a small realized loss on those of just over $2 million. But what that allowed us to do is to go along with residential mortgage-backed securities that were yielding near 6%, you know, a pretty big increase over what we were getting with these deposits. With the Federal Home Loan Bank, we only have to pay a 15 basis point letter of credit fee, so that will have a little bit of an uplift in our net investment income for next year. Those trades were accomplished in December, so you're not seeing that in the net investment income that we printed for the quarter and the year.
Robert Farnam: So, you know, it sounds like the differential between your kind of your book yield and your new money yield is expanded? Or it should expand the next year? Is that the right way to think about that?
Michael Paquette: Well, we show that the ending the 4.5% is the ending of December 31st, but some of that increase from the prior period is a result of that trade.
Robert Farnam: Okay. Alright. And my second question I'm not sure if you're going to have the data available, but I wanted to talk about kind of the increase in the higher hazard groups, the kind of percentage of in force. Now for years, that was kind of low single digits. I think in 2022, it went to the higher single digits, and 2023, it may have been in the mid-teens? And I just kind of want to have an idea of where you see that maybe in 2024. I know that probably will come in a 10-K, but I didn't know if you wanted to talk about that right now. And it's my feeling is are the what are the claims trends for the higher hazard business? Is it a longer tail? Is it just kind of maybe describe what types of risks you're taking on the books there and how that might impact profit?
Katherine Antonello: Yeah. So our shift into some of the higher hazard groups has been that is all tied well, not all, but some of that has been tied to the appetite expansion effort, and that's been a very thoughtful expansion, and we have intentionally moved into some of those higher hazard groups. While the class codes that we are writing may be in the higher hazard groups, we're selecting risks that are in the lower hazard range of those hazard groups. Another cause of that shift was from a change that NCCI made about three or four years ago now that remapped hazard groups. So some of the classes that we have been in for years shifted upwards into higher hazard groups. So it's a combination of those two things that's caused that shift over time. I can't tell you exactly what numbers, you know, where we'll land on the percentage in all of the hazard groups or where we're ultimately headed except that we are being very cautious when we expand into those, and we're looking to cherry-pick the best risk and not change who we are as a carrier in terms of our risk appetite.
Robert Farnam: Yeah. You know, and that was kind of the gist of the question because I know you've always been noticed kind of the low hazards workers' comp writer. So it's you know, as you continue to write more in the higher hazard groups, it might change. Is that thought might change your actual kind of company identity there? But it doesn't sound like it's still a huge portion of your overall target profile.
Michael Paquette: No. Not a huge portion. So, Bob, what I can add is in the last couple of quarters, we've been hovering between kind of 91% to 92% in categories A through E. And that's been pretty consistent for the last couple of quarters.
Robert Farnam: Okay. Alright. Thanks. That's good color. One last question for you. Just the $9 million or so of favorable development. Was that related to any particular accident years, or is it, you know, old stuff or new stuff or what?
Michael Paquette: It was predominantly in accident years 2020 and prior. And you'll see that when the 10-K comes out and we file our statutory. So, you know, you will see a little bit of strengthening in 2023 and 2021, but we'll address that in the K, and, you know, it's some large losses that we experienced in those years. But you'll see it all very soon and to have a conversation with you once that's published.
Robert Farnam: Okay. Very good. Thanks for the answers.
Michael Paquette: Thank you.
Operator: Again, ladies and gentlemen, if you have a question, please press star one one on your telephone. I'm not showing any further questions at this time. I'd like to turn the call back over to Katherine Antonello for any closing remarks.
Katherine Antonello: Okay. Thank you, Kevin. And thank you all for joining us this morning. I look forward to meeting with you again in April.
Operator: Thank you, ladies and gentlemen. This does conclude today's presentation. You may now disconnect, and have a wonderful day.